Operator: Ladies and gentlemen, thank you for standing by. And welcome to the CPSI First Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Friday, May 1, 2015. I would now like to turn the conference over to Boyd Douglas, Chief Executive Officer, CPSI. Please go ahead, sir.
Boyd Douglas: Thank you, Amanda. Good morning, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information, and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risk, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call this morning is David Dye, our Chief Financial Officer. David and I have a few minutes of prepared comments and we will be happy to take your questions. I would like to start by speaking about our market in general for a moment. Clearly, and as expected, the EHR market for rural and community hospitals continuous to be in a low that started in the second half of 2014. As we mentioned in our last call, this was by no mean unexpected though it did happen sooner than we anticipated. How long this will last and to what degree remains to be seen. However, we believe the condition is short-term and that market activity will increase. We are already seeing signs of that based on our second quarter installation schedule. As I mentioned in our press release, we are currently scheduled to implement seven new client EHR systems and 15 Emergency Department Information systems in the second quarter. Obviously, this is an encouraging sign and we feel optimistic about our prospects for the remainder of the year. One other factor I would like to touch on that could have a positive effect on the market in 2015 is the proposed change in the rule regarding the required attestation period for 2015. CMS has backed up their requirement of 365-day attestation period for 2015 and reverted to the previous 90-day. Under new proposed rule, a hospital can start their 90-day attestation period for 2015 as late as October 1st. Any hospital who might be considering a change in vendors, can now do so without contending with having to go through an implementation in the middle of a 365-day attestation period. While this change might not have a noticeable impact on larger hospitals, because of the much longer timeframe needed to implement, in the rural hospital space we believe it will. We have a proven track record of being able implement our system with a minimal amount of lead time and still have hospitals attest successfully using their go-live date at the start of their attestation period. Given this fact, when the rule is finalized, this has the potential to create replacement opportunities for us this year. Beyond 2015, based on initial reviews of the proposed rule for Stage 3 Meaningful Use our opportunity for both add-on sales and new customer sales through competitive replacements will be significant in 2016 and 2017. As you all hopefully know by now, on April the 13th we formed a new company for our EHR business, Evident. I won’t go into all of the reasons for that as those were covered in the accompanying press release, and David and I have the opportunity to speak to a number of you about the formation of Evident at [indiscernible] that we announced. Our launch of Evident has also coincided with our National Users Conference that was taking place in Destin, Florida, that same week. We did an extensive presentation for our clients about the new company and while this was a positive move for them and for us. We followed that up with a series of executive town hall meetings and open the floor for questions from our clients. The feedback we received from them was very upbeat and enthusiastic about our move and our plans for the future under the Evidence name. While I won’t go into the level of detail that we did with our customers, I do want to spend a little time on what is different about our EHR business as Evident. From a system perspective, we determined as part of the new company it make sense to have a name for our system, so our system is now known as the Thrive EHR. The first of several changes plan for Thrive is a new unit -- new user interface application that will be called Thrive UX. Data testing for this new application will begin in May. Thrive UX overlays the entire system and create a completely new user experience for our customers. It includes a home screen concept with multiple display and organization options to make it unique to each user. Among the features in each users home screen is a messaging application, a system generated task list based on individual user settings, workflow automation, new navigation options and direct access to a new Thrive user area that provides contextual help. Our new Thrive [indiscernible] and their ability to chat with support staff. Our customers who previewed Thrive UX at our User Conference gave it great reviews and were ready to get their hands on it. Going forward beyond Thrive UX, we are already well into development of the incorporation of data analytics into Thrive. Our pilot project with IBM is nearing completion and we are now evaluating where it makes sense to incorporate analytics into the system. The initial demand from our customers is more on the retrospective use of the data that we believe the demand for predictive analytics especially around population health management will be significant. The other immediate area of focus for Thrive is around patient engagement. While we currently have patient portal product, the opportunity exists to expand the scope and offerings through the portal as patient engagement becomes more of a factor in rural areas. The other key area of differentiation with Evident is our new support model called LikeMind. We have always believed the quality of our support has been our biggest strength as the company but with Evident, we are dedicated to taking our support experience to the next level, hence the creation of the LikeMind model. The underlying premise of the LikeMind concept is that we are now providing teams of support managers and professionals who are dedicated specifically to individual sites. We believe this approach will enable our support staff to have a much higher level of familiarity with their individual site system configuration, organizational structure and personnel. Not only will this allow us to respond quicker and more effectively on support request, it will enhance our ability to be proactive in working with clients based on having a dedicated support team, consistently engaged with the same clients on a long-term basis. We did a proof of concept of the LikeMind model with 22 of our most active sites related to support resource utilization starting in January. When we met with these sites in April, the response was unanimously extremely positive. We are now in the process of reallocating our support resources to rollout LikeMind to our entire client base by the end of the year. Overall we believe the time was right for this move and we're absolutely committed to providing our customers and prospective customers, significant, tangible benefits as evident from a system perspective, from a support perspective and from a new development perspective. We have enjoyed 35 years of remarkable success and as we told our customers the formation of Evident is all about positioning us and them for even greater success in the future. At this time, I’d like to turn the call over to David for his comments.
David Dye: Thanks Boyd. Good morning everyone. In the first quarter, we installed the Thrive Financial and Patient Accounting System in two hospitals and our core clinical departmental applications at three facilities. Additionally, two hospitals implemented Thrive point-of-care documentation, 10 installed our Thrive Emergency Department Information System and 12 customers went live with physician applications which consist of ChartLink, CPOE and physician documentation. Thrive provider EHR formerly referred to as medical practice management EHR was installed at 15 hospitals consisting of 24 clinics and 87 providers. Add-on sales to existing clients were $7.4 million or 16% total revenue for the quarter. At this time, we expect to install Thrive Financial and Patient Accounting Systems in seven new client facilities in the second quarter. We anticipate five installations of our core clinical departmental modules, four point of care documentation implementations, seven installations of physician applications and 15 ED implementations. Additionally, we expect to install Thrive provider EHR in 16 facilities representing 54 clinics and 126 providers. Our employee headcount as of March 31 was 1,377, up five from year-end and down seven year-over-year. CapEx for the quarter was $323,000. Cash and investments grew $6.3 million in the quarter to $40.8 million. We expect cash to continue to grow over the course of 2015, as we expect minimal cash outlays for capital expenditures and relatively stable total personnel count. We have approximately $15 million in outstanding meaningful use [Gen 1 & 2] [ph] receivables that we will collect as our customers continue to receive meaningful use funds from CMS. Our effective income tax rate for the first quarter was 30.4% compared to 35.4% for the same period last year. This decrease is primarily due to beneficial adjustments recorded during the first quarter of 2015 related to our reserves for uncertain tax positions. The federal returns for tax years 2004 through 2009 are currently under examination by the Internal Revenue Service primarily in relation to research credits claimed on those returns. Interactions with the IRS during the first quarter of 2015 regarding the examination of our federal returns for certain of the years under examination resulted in a more refined estimate regarding the expected outcome of the examinations, prompting a change in our measurement of reserves for uncertain tax positions as the company now estimates a more favorable outcome from the examinations. Moving on the TruBridge. In the first quarter, we executed two new full accounts receivable management agreements in 15 private pay contracts. Thus far in April, we have signed an additional four full accounts receivable management and two private pay contracts. TruBridge Clinical Consulting Services are booked through the first quarter of this year and our medical records coding service continues to outperform our expectations. We expect TruBridge’s topline revenue growth and gross margin improvement to accelerate throughout the remainder of 2015. And finally, on our last call we mentioned that after our first international system installations at St. Martin in late 2014, we began researching potential opportunities for our system in other English speaking international markets. We are now focusing our efforts on Canada and feel there is great opportunity there particularly in the provinces of Alberta and Ontario for relatively low cost integrated EHR solution. We will keep everyone apprised of these efforts in Canada in the quarters to come. And Amanda, if you could please open the call for questions.
Operator: Absolutely. Thank you. [Operator Instructions] And our first question comes from the line of Jamie Stockton from Wells Fargo. Please go ahead.
Jamie Stockton: Hey guys. Good morning. I guess maybe first just on Evident and Thrive. Can you talk about what you are doing to try to make sure that the non-CPSI portion of the market understands the legacy of that platform, that they realize that CPSI is now Evident? Are there specific things you're doing from a marketing standpoint to really get the word out?
David Dye: Well, we are certainly working our sales staff. Obviously the brand -- CPSI brand, we think is obviously very reputable brand and has been around. So we certainly are still pushing them back and again with the formation of Evident, CPSI is still around as the parent company. So the way -- the way we are explaining to those customers and to our current customers is that CPSI is the parent company and we’ve got two customers facing companies in Evident and in TruBridge. CPSI brand, all the good things about it, the 35 years in the marketplace is we think still -- obviously still very relevant and still out there and are using that in everyway we can to help us.
Boyd Douglas: I think two -- Jamie, we know we were going to do this since we rolled out TruBridge a little more than two years ago. This has been in the works and was always in the plans. I think that we were pleasantly surprised by how easily the branding of TruBridge got out to the community hospital marketplace. I mean, it’s 2,500 hospitals but everybody goes to the same meetings and the members of the same associations. I mean, we go to virtually every state HFMA meeting, all the rural hospital association meetings and we will be there as Evident. Certainly, we have already sent out mailing to every small hospital in United States to make them aware of this change. So, I think it’s probably -- it was easier for us and we expected to get up there with TruBridge and we expect the same with Evident. And I agree with what Boyd said. I mean, we want to capitalize on the 35 years of experience we have in the rural hospital marketplace with CPSI. But we want to do it moving forward under the new name Evident so forth. There will be some period as it was with TruBridge where we lean on the fact that Evident is the CPSI company. But probably over the course of the next couple years that will go away and Evident will stand alone and so.
Jamie Stockton: Okay. That’s great. And then maybe be a couple other quick ones. In the ambulatory space, sounds like you guys are getting a decent amount of traction there. Could you touch on the providers that are implementing your system? What were they doing previously? Is this part of the very small size of the market that was still refilled in ambulatory space or you seeing a lot of physicians that are burned down on other systems frustrated with Stage 2? Could you just give us some color around what's driving that?
Boyd Douglas: Yeah. It’s is a mix of those. Some of them are -- really don't have full EHRs implemented or if they do, maybe they make Stage 1 but as you just said, Stage 2 could better our lives is improbable, it’s not impossible. And then it sounds that they are frustrated with their current provider. What we have always said in our biggest benefit that we bring to the table is the integration. And so if they have any trouble at all with their current provider, then if they’ve had a positive experience, which we feel most of them have in the hospital setting with all the new software that’s out there on our end as far as CPOE physician that we’ve made a lot of changes to physician documentation. Sure, it’s nice for them just to have one law again and one software to use and one look and feel for their physician. So that really gives us a significant advantage and that’s why we are targeting physicians that are in markets or in the towns where we’ve already got a presence with the hospital.
Jamie Stockton: Okay. And then David, quickly on the tax rate, you may have given it and I missed it. But what is kind of a new expectation for this year, given the low rate in Q1?
Boyd Douglas: Going forward, each quarter individually should be around 36%.
Jamie Stockton: Okay. Thank you.
Boyd Douglas: You bet.
Operator: Thank you. And our next question comes from the line of Ryan Daniels from William Blair. Please go ahead.
Ryan Daniels: Yeah. Good morning, guys. Thanks for taking the questions. Let me start with one just on the P&L. As we think about the new rebranding effort maybe your move to focus on the Canadian market in a couple of providences. How should we think about the sale and marketing expense, is that going to go up and stay at a bit of an elevated level or do you not anticipate that occurring?
Boyd Douglas: Well, the vast majority of the branding efforts already been absorbed. The fees that we pay to branding firms and a lot of the work we’ve done, we still have a little bit of that going forward. There will be some incremental cost increases because of some of the new markets that we are going into. But there will not be meaningful from a P&L presentation standpoint, an increase of maybe $300,000 to $500,000 over the course of the entire year.
Ryan Daniels: Okay. That’s helpful color. And then was there anything unique on the support and maintenance line? I know you had reasonable number of installs over last year or so but your support and maintenance revenue is relatively flat year-over-year. Is there anything unique there? Should we start to see that trend back up, staring next quarter?
Boyd Douglas: Yeah. We should start to see that trend back up, but we did have a couple of one-time hits in the fourth quarter for folks. Some customers, not many but customers we’ve done on annual basis in the restaurant and all those places. So that’s why it could be a bit volatile but we should see that trend back up over the course of the year.
Ryan Daniels: Okay. That’s helpful. And then last question. As you look at your customer base and maybe you’ve had conversation at your user group last month now in April, any thoughts on their desire to start bearing risk? I guess one of the things we hear is that usually the bigger systems, a lot of facilities, a lot of vibes, such they can spread that risk. Do you see it in kind of the small rural hospital markets where they want to take on that population health risk? Thanks.
Boyd Douglas: We are not seeing that quite yet, Ryan, not in our market. We anticipated we don’t know exactly when but probably sometime in 2016. It usually takes what two to three years to fall them from the larger health systems down into the rural market these type of trends.
Ryan Daniels: Okay. Got it. Thanks for the color, guys.
Boyd Douglas: Thanks, Ryan.
Operator: Thank you. And our next question comes from the line of Donald Hooker from KeyBanc Capital Markets. Please go ahead.
Donald Hooker: Great. Good morning. So I am trying to understand and obviously as an analyst here trying to understand your gross margins kind of looking ahead. So the system sales gross margin calculated being down. But how do we think about that margin going forward? I guess there is going to be less add-on sales, so I assume that’s pressure on the gross margin, but how would you reckon then that from the outside kind of think about gross margin on the system sales?
David Dye: Well, first of all, I don’t know about the less add-on sales. I mean, there is less physician application -- inpatient physician application add-on sales, but we are trending up with ED, with the new Thrive provider HER. We’ve got opportunities ahead with the Thrive you exit. Boyd mentioned, we’ve got opportunities ahead with our mobile rounding app. Both of those will be out in full force in the third quarter of this year. So we do have add-on sales opportunities. I mean, the gross margin right now is really a function of the factored. Our system sales are down significantly. And we have a lot of fixed cost there mostly in terms of personnel and benefit -- associated benefits. But as obviously we expect the system sales line to pick back up in the second quarter. So you will see a much better gross margin -- should see a much better gross margin there. So really right now, it’s a function of the fixed cost aspect to that.
Donald Hooker: Okay. And as fixed costs are $9ish million, is that a fair assumption a quarter?
David Dye: Yes.
Donald Hooker: And then the TruBridge business, obviously you are investing somewhat arbitrary because you’re from the outside looking at your investing to grow that business. I understand that the margins will move around. But kind of as you no plan, as that continues to grow double digit, are the margins going to start to catch up going forward?
David Dye: Yes, they will and I don’t know -- they are down sequentially, but they are up about 2 percentage points over the same quarter last year. So we do feel that they are trending up. We do have as we talked about in every first quarter and years past, in the first quarter we do have virtually all of our 401(k) up has hitched there, our health insurance, self insurance to doctor, most of it used against in the first quarter as well. So we should have gotten to some of that in the first quarter like we have always previously.
Donald Hooker: And one last question. I don’t know if it’s hard to assume this. But I am not assuming it for now at least. I assume a lot of your customers are -- their financial health is a function of the Medicaid sort of programs in their respective states. And are you seeing any different appetite between expansion states and non-expansion states in terms of purchasing interest or anything or is that getting to and I think you do much about that?
Boyd Douglas: Yes. We are not seeing too much of that.
Donald Hooker: Okay. Thanks.
Boyd Douglas: Thanks, Donald.
Operator: Thank you. And our next question comes from the line of Sean Wieland from Piper Jaffray. Please go ahead.
Sean Wieland: Hi, thanks. So I would just like to hear why you chose to go on to do this rebranding effort?
Boyd Douglas: Yes. I don’t know if you are on for an earlier question. But as I said, we decided to do it. We knew we’re going to do it two years ago when we did likemind -- I mean excuse me when we did TruBridge. The idea then was that we would go about first with TruBridge, mainly because we wanted at that point to expand our service offerings to non-hospitals that hadn’t previously implemented the CPA side of the HR system. So we felt we would go ahead and do it first with TruBridge. This has been aggressively. They hold evident rollout. It’s been aggressively in the works till last year and we’ve known that we’re going to roll it out the week of our conference in April for about the last year. It’s really a function of us taken a look at where we think the marketplace is going and how that position ouserlves as we mentioned before and as Boyd said in his prepared remarks, we have been out for 30 plus years, we plan to be around for another 30 plus years ahead of best position ourselves for that. And we think that the segment, our businesses first into the EHR segment and the services, and then these possibilities to come that we can put and make the CPA side parent company corporate structure. Obviously we thought as well that the timing was good and we have known this was coming as everyone has or sort of the backend of meaningful use, but the front end of evidence based medicine population health, we thought that timing was perfect as well. So that’s why we did it.
Sean Wieland: Okay. Thanks. And then any comment on any trends you’re seeing on RFP flow in the quarter?
David Dye: I would characterize it as up slightly.
Sean Wieland: Okay. I mean, you said me that 6 days.
David Dye: Sean I will add on to that a little bit. We characterize -- we really have two categories of potential customers that are going to start the process. We have suspects and prospects. Prospects being prospective customers that are XOE conducting a process and suspects are once that we expect to start the process within next six months. And the number of suspects are the number of customers that we expect to start a process within the next six to nine months is up significantly. So we think that’s a good trend.
Sean Wieland: Okay. And then on systems sales, was there any pricing pressure that you saw in the quarter or was it merely a function of the volume of installs?
David Dye: It’s a function of volume. There is no pricing pressure.
Sean Wieland: All right. Superb. Thanks a lot.
David Dye: Thanks, Sean.
Operator: Our next question comes from the line of Nicholas Jansen from Raymond James. Please go ahead.
Nicholas Jansen: Hey, guys. Just wanted to get a little bit more color on your decision to kind of move upstream to the 100 plus bed hospital market, I think that’s part of the Thrive EHR rebranding and just wanted to get your sense of how many customers today to CPSI service in that marketplace and kind of your ability to navigate probably a much more competitive space?
David Dye: Yes. We’ve got about 50 customers that have between a 100 and 300 acute care beds now and that are very happy. And we have a handful there towards the 300 that range that are very happy and it runs very successfully. We have been a victim probably of our own doing -- definitely of our own doing of focusing our branding around small and rural community hospitals for decades now. So it’s a function of really our decision to do it is around two things. One is the fact that we know we are successful there because we are in some facilities. And two, as I think everybody knows we expect opportunities there, especially in conjunction with Stage 2 MU because of probable products unsets in that area some of which have already been announced. And so we think there’s opportunities there. And obviously, we think that we will be relatively speaking to low cost provider. We offer the integration that Boyd’s already talked about. So it’s a perfect opportunity for us in conjunction with our rebranding.
Nicholas Jansen: Great. Thanks for the color. And then on the data analytics front, any updates with the IBM partnership that was announced in 4Q?
Boyd Douglas: Like I said in my prepared comments, we’re ending the end of power phase and that’s going extremely well. We’ve got a couple of things that we’re looking back at again, more on a retrospective basis. So no particular details but we’re really excited about that opportunity, things are going well with that project. We’re working well with IBM and look forward to -- we really think that’s the feature. And again, that’s part of rebranding as well. We see the business changing and focusing much more on that. And we think of positioned ourselves quite well and we’re happy with where that is at this point.
Nicholas Jansen: And then lastly for me, the continued revenue was a little bit less than I think what we were expecting, maybe you’re kind of hoping for. When do you expect the remaining $400,000 to be recognized?
David Dye: I said on the last call that we expect that to pay out now over the course of the rest of the year. It’s just one customer they’re paying us some of the amount. They are attesting for Stage 2 at some point later this year. And so when that comes in, that will likely pay out the rest of amount as well. But it’s just one customer that -- if they get the money -- if they get the Stage 2 money this year to pay off, if they don’t we’ll pay off incrementally on a monthly basis anyway.
Nicholas Jansen: Thanks for the color.
David Dye: You bet. Thanks, Nicholas.
Operator: Thank you. And your next question comes from the line of David Francis from RBC Capital Markets. Please go ahead.
David Francis: Hi. Good morning, guys. Looking to the Q2 implementation schedule that you laid out, where -- I guess a couple questions there. First, where are those implementations coming from? Were they already signed in, in backlog? Or are those new signings that have happened since the first of the year?
David Dye: The two to four, five of the new signings that have happened since the first of the year of the seven.
David Francis: And to kind of take that a step further then, to what degree do you guys attribute that to the clarity on meaningful use or new budget cycles? What do you think is driving the sudden uptick relative to what you’ve seen over the last couple of quarters?
David Dye: Yes. I think if I try to give you a definitive answer on that, it would be a borderline BS. I think we just had more hospitals to make a decision.
David Francis: Okay.
Boyd Douglas: I’ve got to say, I think we’re -- hopefully we’re at the trend, which we’ve always said, we’re going to be there. There is several hundred hospitals out there that we think realize that they’re not only good long-term solution for the benefit of their hospital and maybe this is the beginning of that replacement cycle. I mean, I don’t want to here predict whether it is or isn’t and I said that in my prepared comments. But certainly there is several hundred hospitals out there. Again, that on a solution that they know is going to be a long-term solution so and we expect those hospitals to come to the market over the next two to three years.
David Dye: Yes. And that’s I think Boyd is right. And looking at it four of the seven are hospitals that hadn’t attested the Stage 2 yet. So I think probably one of the reasons are definitely the reason that they’re chaining is because they made it to Stage 1, but they don’t feel good about to either almost Stage 2 and obviously without meaningful use success were a safe choice there.
David Francis: And to that kind of next question then, I mean, who is it that is -- from a competitive perspective is primarily at risk? Is there a specific competitor or there a couple different ones out there from whom you’re able to win the business at this point?
David Dye: Yeah. We don’t name competitors on our calls, but there is about three or four that are -- we feel are at risk from the Stage 2 standpoint.
David Francis: And then last question, to what degree are you continuing to see some of the larger players in the market move down into your pond and trying to win business competitively?
Boyd Douglas: We’re seeing that a little bit, certainly through the affiliations, the pop-up here and there. And like, I think, I’ve always said, just because the hospital affiliates that necessarily mean that’s a bad thing for us that certainly put that hospital just one more layer from the support that they really need, especially if you’re on 100 bed hospital. So I would characterize that it is maybe a little more than average but nothing significant.
David Francis: Thank you, guys.
Boyd Douglas: Sure.
David Dye: Thanks, Dave.
Operator: Thank you. And the next question comes from the line of Steve Rubis from Stifel. Please go ahead.
Steve Rubis: Thanks guys for taking my questions. Can you talk about how the rebranding events and focus on new areas or services help you evolve your value proposition? And a fee for value world and how it will help you drive or navigate of replacement market?
David Dye: Well, certainly, you’re hitting -- the timing of the rebranding is definitely focused on the new reimbursement model that our hospitals are going to find themselves under -- over the next two to three years, and I guess, precisely why we did it. That’s the -- what we’re bringing to the market, we think is a new way of looking into this. We’ve always been very affordable for these hospitals. And as we mentioned earlier, we think that makes our propositions to the 100 -- 300 bed market space even better, because they are certainly going to be looking at cost in a different way and as David mentioned, we see ourselves as a low cost provider in that 100 to 300 bed marketplace, which given the new pressures that they are going to be under for Medicare and Medicaid funding, we think puts us in an excellent position.
Steve Rubis: Great. Can you also talk about the areas that you see is additive to the platform, given the way you are talking about the rebranding and the idea that you are looking to bring in new services, what are some of those services or areas that you are focused on?
Boyd Douglas: In certainly patient engagement, obviously, analytics, population health. If you are talking about -- if you are thinking of Evident customer that has virtually everything from a software perspective that we have to offer, these are the things that we can add going forward, the mobile rounding app. And certainly the Stage 3, the software that's going to be required to meet Stage 3, which obviously, we don’t have all that clearly defined yet. But just after an initial review the Stage 3 rules there is a plenty software for us to write and the market to our customers to help them achieve many of these Stage 3.
Steve Rubis: Great. And then, I guess, my question and I’ll give my time to everybody else. Can you talk about trends you are seeing in terms of technology spend, are your hospitals concerned about having to spend more technology on upgrades as we move through the Meaningful Use cycle or have they just pretty much resigned themselves and say, hey, we know we need the software so we are going to pay for it?
Boyd Douglas: All right. I think it’s a lighter, I think, it’s a constant part of budgets now, obviously, will fluctuate little bit given the different Stage 3 requirements, for example, they may have to increase their spend there to actually achieve Stage 3. But I think in general hospitals have realized throughout this Meaningful Use space that we have been in for the last four years that IT is a significant portion of their spend than something they are going to need to continue to reinvest and in order to stay on top and especially to stay and become efficiently even more efficient to the manage the payment changes that we just talked about.
Steve Rubis: Great. Thanks for your answers.
Boyd Douglas: You’re welcome.
David Dye: Thanks, Steve.
Operator: Thank you. Our next question comes from the line of David Larsen from Leerink Partners. Please go ahead.
Chris Abbott: Yeah. Thanks. It’s Chris Abbott in for Dave. I recognized it’s still early in the year and you haven’t made any changes to the full guidance, but the occurrence does require a bit of the steady ramp in earnings as the year progresses, are you still comfortable with that guidance range even if the activity levels you saw in 1Q and so far, and 2Q remain pretty static or to sort of achieving that full year outlook require a more meaningful pickup in activity?
Boyd Douglas: Based on our comments, obviously, Chris, we feel pretty good about the second quarter. So we have a policy not reiterating guidance on quarter-after-quarter basis. I know you like guys like folks to do that we don't. But we are right where we feel we need to be at this point we feel good about the second quarter. We’ll update you next call.
Chris Abbott: Sure. And, and then I think, this is sort of, kind of, been asked in one way but maybe just ask a little bit differently for the system sales line I recognize that the margins obviously fluctuate in line with some of the revenue that you recognize. How do we think about some of the fixed costs in that line? And can you get even more sort of leverage if there isn’t significant more meaningful sort of revenue growth in that line?
Boyd Douglas: We can’t get a whole lot more leverage but obviously we feel like system sales is going to improve after the level has been in the last couple quarters. So we -- as you know we haven't done any significant hiring from an installation personnel standpoint since the third quarter of 2012. So we really have no leverage to gain there from a personal standpoint. We already feel like we are very efficient from a cost standpoint. We are just -- and we feel optimistic about the marketplace. Obviously, again we feel good about specifically the next quarter but in the terms of the next several years, there’s a lot of things going on. We just mentioned all the add-on sales opportunities that we have as a result of new things that we are doing new things and the markets doing in because of Stage 3 Meaningful Use add-on wise. And we feel good about the replacement market for the same reason specifically because of Stage 3 MU and the probably when their sun sets they are going to come back forward. So the answer -- specific answer to your questions is no there is not a leverage -- a lot of leverage but we don’t feel like there needs to be because we are staffed appropriately for the demand that we think is to come.
Chris Abbott: Okay. Great. Thank you.
Boyd Douglas: Thanks Chris.
Operator: Thank you. And our next question comes from the line of Gene Mannheimer from Topeka. Please go ahead.
Gene Mannheimer: Thanks. Good morning., Excuse me, I wanted to ask a little bit about your comments setting your sights on Canada. Can you give us a feel for the size of the sub 100 market up there, who are the dominant players that you know of? And would your sales efforts be direct or through partners? Thanks.
David Dye: At this point, we are looking at direct approximately 400 or so 200 better under hospitals in provinces that we’ve mentioned. And obviously MEDITECH has been a big player out there for a long time now, Epic as well, McKesson to a lesser degree are the ones that we see now and lot of the smaller hospitals. But lot of those hospitals don’t have a full HR. They’ve just got some financial and patient accounting and some limited clinical functionality, as we said in the last call by our estimation about five years behind the U.S. in terms of the HR penetration. So where we look at it is five years seven years from now they are going to on somebody with a full HR, we might also get in the game.
Gene Mannheimer: Okay. Great. Thanks David. And do you have any feel for the CMS decision that reverted back to a 90 day reporting period from 360, clearly that sounds like the positive for you. Are you seeing or feeling any impact on your bookings to this point from that?
David Dye: Yeah. Probably slightly, I mean, we definitely have some hospitals that we are going to be unable to a test Stage 2 in what was previously Medicare fiscal year 2015 under the new rules which we know are forthcoming, but they are still not final yet. They will be able to -- no they can actually attest until January of 2016 but they can attest for any quarter in the calendar year 2015, which is -- as you probably know the new Medicare fiscal year as well at least for the at the station purposes. It kind of makes the potential for somewhat deferred but more the fourth quarter to be the equivalent of what the second quarter has been in years past, where you kind of got anybody who wants to attest will be trying to make sure that they have everything in place to begin at the attestation process part over first that they take can attest on January 1.
Gene Mannheimer: Okay. Okay. Great. And last one from me, this new support structure I guess you labelling it LikeMind. Are there any with dedicated supports team, are there any impact to support margins say a near term and longer term? Thank you.
Boyd Douglas: No. We are just reallocating our support resources but we don’t expect any impact to the financials from that.
Gene Mannheimer: Okay. Thanks.
Boyd Douglas: Thanks, David.
Operator: Thank you. And our next question comes from the line of Frank Sparacino from First Analysis. Please go ahead.
Frank Sparacino: Hi, David. Hi, Boyd. Just one quick question from me. Can you remind me, when we look at the TruBridge, kind of roughly speaking, your percent of revenue from the different kind of service lines. I know you talked about medical coding as one area of growth, but just maybe talk about the different streams in terms of how they are growing and what you see going forward and new services as well? Thanks.
Boyd Douglas: I know we gave you a lot of color on that in the Q on some of the specific aspects of that. But I don’t have in front of me at this very second, but it’s approximately 75% -- boy, our management and private pay, collection services. The majority or the rest of more are the consulting plus coding type service. This makes up the remaining 25%. I mean the coding business is doubling year-over-year but of course that’s based on the fact that it was brand new a little over a year ago. Hello. Go ahead. Sorry.
Operator: Thank you. Our next question comes from the line of Matthew Gillmor form Robert W. Baird. Please go ahead.
Matthew Gillmor: Hey. Thanks. Good morning and thanks for taking the question. I just have one quick clarification. I might have missed this from earlier, but the press release referenced your intention to evaluate opportunities outside of the information technology services. Can you give us a sense for what that might be and/or, maybe was that a reference of the population health engagement opportunities you mentioned?
Boyd Douglas: Yeah. We don’t have anything specifically at this point that we are ready to talked about publicly about what that might be. Obviously we’re evaluating things. As I did say earlier, this move to re-branding our EHR into its own company, the decision was made when we rolled out TruBridge a couple of years ago. We decided on a timing of it almost exactly a year ago in conjunction with our 2015 Users Conference. We are thinking about some other opportunities. It's unclear right now whether those opportunities, which fall underneath TruBridge or Evident or if we would have eventually roll out that on our own brand as well. But we are not in a position now names specifically what at this time we are thinking about.
Matthew Gillmor: Okay. Thanks a lot.
Boyd Douglas: Thanks, Matthew.
Operator: Thank you. Mr. Douglas, there are no further questions at this time. I’ll now turn the call back to you. Please continue with your presentation or closing remarks.
Boyd Douglas: No, we would just like to thank everyone for their time this morning on the call. Thank you for your interest in CPSI and I hope everyone has a great weekend.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and we ask that you please disconnect your lines. Thank you and have a good day.